Therese Sjoborg Skurdal: Good morning, everyone. Thank you for joining us today, and welcome to Kongsberg Automotive Q3 2024 Earnings Call. My name is Therese Skurdal, Communications Director, and I will be the moderator for today's session. Before we begin, I would like to remind you that questions can be raised in the webcast tool. We will prioritize questions posted in English and encourage everyone to limit the number of questions to 2 per participant. Joining us today as presenters are President and CEO, Linda Nyquist-Evenrud; and CFO, Christian Johansson. On the right-hand side of the slide, you will see the topics that they will present today. Now I will give the word over to our President and CEO, Linda Nyquist-Evenrud.
Linda Nyquist-Evenrud: Thank you, Therese, and good morning, and once again, welcome to this Q3 earnings call. Christian and I will take you through our results for the quarter. So let's move to the next slide and the executive summary. 2024 is a turnaround year for Kongsberg Automotive. We are pleased to see that the results of our strategic initiatives to improve long-term profitability announced a year ago are materializing. Cost reductions and operational efficiencies help us to offset impact of reduced customer volumes. We have initiated new cost savings to further lower breakeven turnover and position Kongsberg Automotive for increased long-term profitability. The revenues came in at EUR 181.6 million in Q3, a decrease of 16.9% compared to Q3 last year, reflecting the present lower demand in the automotive markets and changes to customer orders. We delivered an EBIT of EUR 1.1 million for the quarter, including a nonrecurring provision for higher-than-expected warranty costs. Year-to-date EBIT is at EUR 17.6 million, equaling an EBIT margin of 2.9%, up from 0.1% in the same period last year. The margin improvement is achieved despite lower revenue levels through a significantly reduced cost base. Two key drivers for KA's profitability and cash generation are cost-efficient operations and growth within higher-margin products. We are on track for overhead cost reductions of EUR 17 million in 2024. And last week, we announced additional savings of at least EUR 10 million with full effect from Q3 next year in response to lower demand while also updating our 2024 guidance. These steps will help us to stay efficient, sustainable and competitive in a market with strong underlying long-term growth. Let me also add that cash flow from operations is positive both in Q3 and year-to-date, reflecting our attention to cash generation, including reduction of working capital. Free cash flow was negative EUR 5.2 million in Q3 after investments and financing. We are also continuing the review of the operational structure with a goal to enhance our operational efficiency and ensure the delivery on our financial ambitions of above EUR 1 billion in revenues and an EBIT margin at or above 8.5% in 2028. New business wins are at record EUR 1.23 billion year-to-date, proving that our products are well aligned with the needs of top Tier 1 customers. Our rolling 4 quarters of new business wins represent EUR 1.644 billion or 2.0 in book-to-bill. As you can see on this slide, the softening global automotive markets are affecting the industry and KA's revenues year-to-date. Europe, our largest geographical market accounting for 47% of total revenues, has experienced lower volumes coming off exceptionally high levels in 2023. Looking behind the aggregate numbers, we are seeing a 13.7% reduction in revenues within commercial vehicles in Europe, while sales to passenger vehicles are down almost 20% year-to-date. Looking at year-to-date figures in our second largest geographical market, North America, revenues from commercial vehicles are down 7.6%, while passenger vehicles are 4.5% lower. The development is even more pronounced in Q3, driven by customer inventory adjustments. Revenues from other geographies have increased so far in 2024, led by a 5.9% growth in commercial vehicles in China, which now accounts for 9% of our revenues. Just let me add that in Q3 isolated, 11% of our revenues came from China as we ramp up new programs. One year ago, we announced measures to optimize costs, rightsize the company and enhance our competitiveness. Around 110 positions have been reduced and 40 positions moved to best cost locations, and we have closed our offices in Dortmund and Tokyo. In total, we are achieving the targeted overhead reductions of EUR 17 million this year. In addition, other measures have contributed net positively by approximately EUR 6.6 million, bringing the total cost base reduction to EUR 22 million year-to-date. On top of this, we can see that measures regarding direct material cost optimization, resourcing and operational excellence are materializing. Last week, we announced new initiatives to adjust costs, maintain efficiency and enhance competitiveness in response to lower near-term customer demand. These measures are expected to have full effect from Q3 2025 at the latest, improving our earnings with another EUR 10 million. We are also continuing the review of the operational structure to ensure closeness to customers as well as optimizing production, technology and product portfolio based on competitive advantages and profitability requirements. Our global footprint is made up of 32 locations, split on 22 production plants, 8 site offices, 6 technical centers and 2 warehouses. The structure reflects our need to be close to our customers in all the industries we deliver to, a global reach where we are not dependent on one single plant. We will continue to rebalance globally and regionally, meaning we become less European heavy and generate more of our revenues from North America and Asia. Examples of this is production of Flow Control Systems in Asia and our upgraded state-of-the-art manufacturing facility in Mexico, delivering Raufoss Couplings and powertrain and battery electric vehicle applications for commercial vehicles to the North American market. Cost-efficient operations enable delivery on Kongsberg Automotive's long-term financial ambitions while proactively addressing the impact of more uncertain market conditions near-term. The assessment is ongoing and potential measures will be decided in 2025. Based on recent customer dialogues and industry developments, we have adjusted the 2024 full year revenue guidance last week to the range of EUR 760 million to EUR 790 million. The updated EBIT guidance of EUR 18 million to EUR 23 million includes EUR 4 million tfo EUR 6 million related to lower revenue, EUR 2 million in nonrecurring costs related to the new overhead reductions and EUR 4 million related to higher-than-expected warranty costs on our Drive Control Systems product manufactured between 2019 to 2022. We maintain the guidance for new business wins of more than EUR 1.5 billion as communicated during the Q2 earnings call. The record year-to-date new business wins of EUR 1.23 billion confirms our attractive product offering. This is a leading indicator for delivering on our 2028 ambitions. For the first time, we show new business wins split between incremental or new business and extensions of existing customer programs. Additions to our renewals of existing programs represent 59% of lifetime sales last 12 months, reflecting deepening relationships with existing customers. The remaining EUR 677 million is attributable to new customers or programs. Our book-to-bill ratio stands at 2.0, up from 0.9 1 year ago. Our progress in 2024, supported by several significant contracts shows steady progress in building a solid foundation for Kongsberg Automotive's future growth with new customer programs on track for production. If we look at the new business wins in Q3, they are mainly in the commercial vehicle, industrial and off-highway segments, in line with strategy of focusing on markets with higher margins over time. In Q3, we secured an extension of contract from a long-time customer worth over EUR 13.5 million in estimated lifetime revenue for our air couplings and the Raufoss ABC Systems. The 3-year contract, which starts in January next year, is awarded by a global brake manufacturer based in Europe. The product is to be distributed to original equipment manufacturers of trucks, buses and trailers. Having strong partners within the brake system supply area remains a critical component to the continued market leadership position that our air couplings and the Raufoss ABC Systems enjoy. At the Capital Markets Day in May this year, we presented our financial ambitions of above EUR 1 billion in revenues and an EBIT margin at or above 8.5% in 2028. By then, Driveline, which is no longer considered core business, will be insignificant in terms of revenue. Also, let me emphasize that our ambitions are not affected by the near-term lower market demand the industry currently is experiencing. We have a sizable and secured order book, including 85% of our anticipated revenues in 2026 already booked or awarded and 70% of the 2028 anticipated revenues. Earlier today, I highlighted cost-efficient operations and growth within higher-margin products as 2 key drivers for KA's profitability and cash generation. We are, therefore, pleased to see that the portfolio transformation that began in 2021 now is finalized. Products affected by the initial portfolio optimization make up more than half of the revenues of the entire 2021 portfolio. This year, we have conducted a strategic product review of all remaining products, resulting in that we, within both Flow Control Systems and Drive Control Systems, have a clear plan to grow revenues towards 2028 and beyond. Our focus is on organic growth and improved profitability. As shown on the previous slides, we have successfully won several long-term contracts with well-reputed automotive brand names, primarily within commercial vehicles. By 2028, we expect more than 80% of our revenues will be linked to commercial vehicles, off-highway and industrial applications, where margins are higher than for passenger vehicles. Looking at our flexible product offering, bundling more than 65 years of experience from world-class mechanics with advanced engineering and technology in close collaboration with our customers and end users. Here, you see 3 products which are going to help drive Kongsberg Automotive's profitability towards 2028. Our air couplings have a lightweight design that improves fuel efficiency, aligning with market demands for greener and more economical vehicle solutions. Our Gear Control Units offer precise, smooth shifting, which enhances driver experience and safety. And our electric actuators are designed for lower power consumption and emissions. Overall, we expect these 3 products alone to account for more than 40% of our revenues in 2028. As mentioned on the previous slide, our products are well positioned with market trends and regulations. Our diversified portfolio of different products suited for both automotive industry and industrial applications. We focus on cost-effective solutions engineered for sustainability and safety, and we deliver mobility solutions for the future. Combined with closeness to markets, long-term customer relationships, trusted business partnerships and the dedication of our hard-working organization, I'm confident that Kongsberg Automotive will continue to outpace the market growth in the coming years. And with that, we conclude the executive summary, and I leave the word over to you, Christian, to take the team through the market and financial updates.
Christian Johansson: Thank you, Linda. Good morning, and good afternoon, everyone. The market data for vehicle production show that both the commercial vehicle and the passenger car market presently are weak. The graphs on the right-hand side show that the global commercial vehicle production in quarter 3 was down 6.8%, while excluding China, it was down 7.6%. The reason we comment including and excluding China is that China alone stand for close to 25% of the global commercial vehicle production. Global passenger car market was down 5.4% in the quarter, while the market outside China was down 6.1%. And correspondingly, the global car production, more than 1/3 of the cars are produced in China. The global map to the left show the third quarter by region. And when it comes to commercial vehicles, all regions, except South America, had declining sales in quarter 3 versus quarter 3 last year. And already in the second quarter earnings call, we talked about the weak second half of this year, which also was the base for the revenue guidance adjustment at that time. The forecast for the full year 2024, which you have on the right-hand columns on the regions as well for global commercial vehicle production is now minus 3%. At the time of the second quarter earnings call, the forecast was minus 1.5% for the full year. So the forecast for quarter 3 and quarter 4 has been lower then. Excluding China, the forecast is minus 5.6%, and it was minus 5.3% in Q2. Comparing our sales in the third quarter with the global market, we see that our sales has declined more than the global market, which is due to the regional mix of our sales, as Linda showed, where we in quarter 3 had 81% of our sales in Europe and North America, where the market is weaker and the vehicle production has been reduced more. We have close relations to our customers, and we are regularly discussing their production situation. However, being a supplier, we cannot do much about the customer decision on volumes, except being agile in adjusting our own production. Our commercial vehicle sales in Europe was somewhat better than the market in the quarter, while the North America sales declined more than the market. We should note that in the second quarter, we performed better than the market in North America. So our customer situation and production decisions can deviate from the general market. It's good as well to be aware that the amplitude of the fluctuations on volumes also differ in the value chain from customer to dealer, to the OEMs, to Tier 1 suppliers and to us being a component supplier. And typically, fluctuations are higher, the further away from the end customer you are, and we are very early in the value chain. In North America, we have a Tier 1 business where production volumes have been adjusted significantly in quarter 3 and quarter 4 due to the uncertainty ahead of the presidential election in the U.S., which we also discussed back in the second quarter earnings call. Our core business in China and Asia outside China, where India is the largest market, and we are also active in Korea, is presently small. However, we are growing and we outperformed the market in the quarter, as you can see on the slide for those regions. We have good market acceptance in China for our mechatronic products, and we are winning business with local Chinese OEMs. When it comes to our sales to the passenger car market, it reflects our decision to wind down our Driveline business, which to almost 100% is a passenger car business. And if you take the passenger car sales in our core business, that was approximately 80% of the sales in third quarter, and that performed in line with the market. Looking at the forecast beyond 2024, LMC, the Institute, the forecast for commercial vehicle production is flat or slightly negative development in 2025 versus 2024 in Europe and North America. The global market will grow by approximately 4%, which fully relates to the Chinese market, where volumes will grow by 148,000 units, as you can see in the slide. For the period 2026 to 2028, there is a robust broad-based growth in the commercial vehicle production forecasted. And it's also good to know that commercial vehicle has an underlying growth trend since many years back, and there is no reason to believe that this will change going forward. Truck transports are gaining market share versus other transport means. And the weaker market we presently see in '24 and eventually also in '25 then according to forecast, mean that the truck fleets are getting older and the replacement need is building up. And certainly, truck companies cannot afford vehicles to stand still, so they will invest in new vehicles when service costs are increasing. One more note related to North America. If you look at that graph on the slide, there is a new emission regulation step coming in, in 2027. Truck owners in U.S. normally want to avoid the price increase that follow new technology, which means they will buy before the new legislation comes into force. You see that in the graph with some strong growth in 2026 and very weak volumes in 2027. Still early to see effects from this in our order books, but it will probably start to happen in end of next year and early 2026. Moving into financials and starting with revenues. This is a new slide we intend to use going forward. You see 9 quarters of revenues splitted in core and noncore in the bars. You also see 3 lines showing trends, the 12 months revenues. The top trend is Kongsberg Automotive total. The mid-trend is the total revenues, excluding revenues in companies that have been divested. The last divestment was done in Q4 2022, where the Powersport business was sold to Bombardier. And this is, therefore, taken out. The lower blue trend is revenues in present core business, so excluding revenues in divested units and excluding the noncore, so the Driveline revenues. And the 12 months trend in core business has grown from EUR 609 million in Q3 2022, up to EUR 718 million in Q4 '23. This year's market decline has taken this down to EUR 673 million after Q3, but this still leaves a growth of more than 10% in the 2 years since Q3 '22. So we are growing the core business. However, the weak market this year has impacted negatively on this growth trend. Same basic slide layout for EBIT. EBIT for core and noncore in the bars and 12 months rolling in the line at the top, excluding results from the BRP business and excluding the gain from the sale of the Powersport business in Q4 '22. And as you know, EBIT and not adjusted EBIT is our main measure for operating results, which mean the large onetime effects in Q2 and Q4 last year impact the trend. So 12 months rolling per Q3 '24 is negative EUR 2.9 million. We have made positive EBIT results in each quarter this year, but the weak result in Q4 last year with various negative onetime effects impact the trend. We also had some positive onetime effects supporting a good EBIT result in Q3 last year, which I will come back to in a couple of slides. We will see a better picture after Q4 this year based on our guidance. I will now go through the Q3 results and start with the Flow Control Systems business area. FCS revenues held up quite well in the weak market, down EUR 3 million, corresponding to 3.6% decline adjusted for currency. The Fluid Transfer Systems business had flat revenues, while the Couplings business decreased from high levels in Q3 '23, which was due to inventory buildup after COVID and other supply chain disturbances in previous periods as we also have talked about in earlier earnings calls. EBIT improved from EUR 5.1 million in Q3 last year to EUR 5.6 million this quarter. We do have negative effects, obviously, from loss contribution from the lower sales volumes, and we also have a negative product mix with less Couplings business, but good work done in FCS to compensate this by operational improvements, including reduced capacity costs and lower overheads. In our Drive Control Systems business area, we had significantly lower revenues, down by 19.4% adjusted for currency. We had high volumes last year for the same reason as for FCS, and we had also a ramp-up of a new customer program in the autumn last year. In addition to this, we have seen significantly lower volumes to Tier 1 suppliers that have reduced their production due to the market uncertainty, as I already mentioned. The off-road market, which is construction equipment and agriculture machines has also been weak and contributed to the lower revenues. The lost contribution due to lower sales has also in DCS to a large degree been offset by lowering manufacturing costs and lower overhead costs. In Q3 last year, we had a positive onetime effect of EUR 5.7 million related to prior periods, and that included, for example, retroactive price increases. And then this year, we have, as Linda has mentioned, higher warranty expenses in total by EUR 6.2 million versus last year, whereof EUR 4 million is a onetime adjustment then related to recent information showing that we have a higher fault frequency than we earlier had expected on a DCS product. Adjusted for the positive one-offs last year and the EUR 4 million negative one-timers on warranty this year, EBIT declined EUR 2.3 million versus last year on a sales decline of about EUR 20 million. This slide shows the EBIT bridge for the quarter and the year-to-date. In the quarter, we had net of items last year of plus EUR 2.4 million, bringing the baseline to EUR 7.3 million. We have an EBIT effect of negative EUR 7.7 million related to loss contribution from lower sales as well as the effect of price and mix on sales side, which is net positive in the quarter. Costs have been lower by EUR 8.1 million, excluding warranty, and then we have the negative warranty expense of EUR 6.2 million, talked about before. Currency effect of negative EUR 0.4 million, giving an EBIT for the quarter of EUR 1.1 million. Same for the year-to-date, we have a base after the one-offs items of EUR 10 million. We have volume, price and mix of negative EUR 10 million, which means that we see the sales decline that has accelerated after Q2 and that we also foresaw and talked about in the Q2 earnings call that, that will happen, and this is also what we see. We have adjusted our cost base significantly this year, and that corresponds to positive EUR 22 million. which is the effects of the cost reduction program announced in Q4 '23, mentioned earlier by Linda that will give EUR 17 million savings on a full year basis and where we have 1 quarter left for the year. In addition, we have reduced capacity costs by efficiency improvements and adjustments down to the lower volumes. Warranty expenses year-to-date, EUR 3.7 million higher than last year, which corresponds then to the EUR 4 million higher-than-expected cost in DCS as commented. Negative currency of EUR 0.6 million in total, and EBIT for the 9 months of EUR 17.6 million, so a good improvement from EUR 0.8 million last year. Here follows the net income bridge for the quarter and year-to-date. So in addition to the EBIT development that we covered in the previous bridges, we have some smaller negative year-over-year effects in the quarter in the financial net of EUR 0.7 million and EUR 0.6 million related to net interest expenses, respectively, to other financial items. In the Q3, we have, however, a larger year-over-year currency effect of negative EUR 9.1 million, and this consists of unrealized currency losses in quarter 3 2024, while we had currency gains in Q3 2023. So the currency effect are, in this case, to a large extent, unrealized effects when we -- at the end of the quarter, we have to value our bond notes. It's a euro-based bond. However, it is Kongsberg Automotive in Norway that have the debt in its balance sheet and then is valued in Norwegian krones. And the NOK versus the euro has this year weakened during the quarter by 3.3%, while in the quarter 3 last year, it appreciated versus the euro by 3.8%. Tax expenses have decreased in quarter 3 versus last year despite higher withholding taxes due to lower deferred tax expenses. Year-to-date, the net income has significantly improved from a loss last year of close to EUR 33 million to a loss of EUR 5 million this year. EBIT improved by EUR 16.8 million, as we saw in previous slides. Other financial items, negative EUR 2.1 million year-over-year. This is due to -- this was an event in Q2 that mainly builds this up due to nondepreciated part of the financing cost for the old bond that was expensed in Q2 when we took up the new bond. Year-to-date, we have positive currency effects of EUR 6.5 million, so different than in the third quarter isolated. And we have lower tax expenses due to lower deferred tax due to less losses not capitalizable versus last year. Free cash flow, same logic as in the initial slides with 9 quarters and with the proceeds from the sale of the Powersport business to BRP in Q4 2022 taken out. So as we see, we are negative on free cash flow in quarter 3 by EUR 5.5 million (sic) [ EUR 5.2 million ]. However, as you see in the table, we have a positive development of our cash flow from operating activities, close to EUR 12 million in quarter 3 and EUR 18.7 million year-to-date. Last year, cash flow from operations was positive EUR 1.7 million after 9 months. So a good improvement here. Compared to last year, we are better in quarter 3 also when it comes to cash flow from investments and cash flow from financing activities. However, we see negative effects from currency translation due to stronger euro, not only versus NOK, but also versus U.S. dollars and for example, the Chinese renminbi during the quarter. The rolling 12 months trend on free cash flow are presently at minus EUR 19.9 million compared to negative EUR 36.9 million after Q3 last year. When it comes to liquidity, we have EUR 80 million in cash and cash equivalent by end of the quarter 3, and we have our revolving credit facility of EUR 15 million undrawn. So we do not see any liquidity problems. We have a high focus on cash flow in everything we do. And as you know, sometimes in business, it's a trade-off between profit margins and cash, and we are in KA assuring these decisions are taken very consciously. Our financial ratios, finally, our leverage has increased from 1.7 in second quarter to 2.1 end of this quarter 3. And this is due to that the rolling EBITDA result now is lower and the net interest-bearing debt has slightly increased. Return on capital employed, no significant improvement yet. EBIT in the quarter was relatively weak, as you've heard. Equity ratio is at a good level and has improved slightly since second quarter, due to that, we are reducing our capital employed and the total balance sheet. With that, I leave over to you, Linda.
Linda Nyquist-Evenrud: Thank you, Christian. So summarizing this quarter, we see that the cost initiatives announced 1 year ago is having effect and is helping us to offset the lower demand we currently see in the market. We are taking action to further improve KA's operational efficiency, profitability and competitiveness. At the same time, we are pleased to see new business wins at record level in 2024, driven by more technological advanced products with higher margins in line with our strategy. To conclude, we are well positioned to navigate the current market uncertainties and deliver on the 2028 financial ambitions. We plan a breakfast meeting in December in Oslo, where we will share more details about our product offering and drivers for growth and profitability towards 2028. And that concludes the presentation, and I now give the word back to you, Therese, for the Q&A session.
Therese Sjoborg Skurdal: Thank you, Linda and Christian for the presentation. We will now begin the Q&A session. We have received several questions, and we'll do our best to address as many as possible in the time that we have. Starting with a question related to products. How does Kongsberg Automotive view its innovation potential in rapidly changing automotive industry? And can we expect new product launches? And how many products will be ready for delivery from 2025 and onwards?
Linda Nyquist-Evenrud: Okay. So let me take that one. We went through 2 major waves of product portfolio restructuring within the last 3 years. In the first wave, we sold business units that do not strategically fit KA in the long-term. This year, we conducted an intensive strategic product review of all remaining products and defined the growth path to reach the EUR 1 billion by 2028. The key drivers are the so-called core products, which will be developed further. Especially in these areas, we see that KA has a clear competitive advantage due to their unique design features, the strong intellectual property and competitive costs, which will secure the planned growth rates and defined profitability levels.
Therese Sjoborg Skurdal: Thank you, Linda. Continuing on product-related questions. What distinguished Kongsberg Automotive products such as Gear Control Unit and Dog Clutch Actuator from the competition?
Linda Nyquist-Evenrud: Good one. In the Gear Control Unit product group, we are offering a high-performance system with a robust and durable design based on reusable building blocks. It offers maximum comfort and performance for the driver and shows low total cost of ownership. Our Gear Control Units, the unique selling points are the, I would say, is the self-adjusting clutch actuator and significantly shortened time to market down to 18 months and the ability of customer-specific integration. In terms of the Dog Clutch Actuator, that's a unique design, which has been launched first to market already in Asia back in 2024 or this year, early this year. The product has fewer components and is a more compact design for transmissions compared to traditional solutions. It offers several unique features like efficient coupling actions and quick synchronization to accelerate gear shifting, which makes driving a smoother and more efficient driving experience, I would say.
Therese Sjoborg Skurdal: Thank you, Linda. Continuing on products tech-related, how does Kongsberg Automotive plan to strengthen its position in electric car components? And is there expected to grow in revenue from this area in the coming years?
Linda Nyquist-Evenrud: I would say we are serving 3 kind of products, products dedicated to internal combustion engine like the Gear Control Units, products which are resilient to the transformation like our Couplings for air brake applications or air suspension systems, and products which are designed for future [Technical Difficulty] for electric, hybrid or fuel cell vehicles. And in both cases, in terms of the last 2 ones, we are further investigating into these product groups, and we expect these products to contribute over proportionally to the EUR 1 billion growth target in 2028. And as I mentioned in the presentation, more than 40% of our revenues in 2028 is anticipated to be there.
Therese Sjoborg Skurdal: Thank you, Linda. Next question is for you, Christian. Commodity prices have been a global challenge. Does the company have contractual clauses that provide flexible in the event of price changes? Is KA able to pass on the cost over to the customers?
Christian Johansson: Okay. Yes, we do have such contract clauses, and we are actively working to get more contractual clauses in place in order to mitigate the risk of the fluctuation of raw material. While we have also been quite successful to get compensation for abnormal cost increases after COVID, for example, energy, extra transport, high labor inflations and so on. But it has obviously now become more difficult in these challenging times also for our customers, the OEMs and Tier 1s.
Therese Sjoborg Skurdal: Okay. And continue with questions to you, Christian. If it has not been profitable from a tax point of view to have the head office in Zurich, how does the company have tax losses carried forward?
Christian Johansson: Yes. I mean we have to be aware that tax losses in Kongsberg is due to the low profitability of the group during many years and has nothing to do with the location of the headquarter. And the tax value of the losses was -- we have checked here, EUR 46.5 million, as you can see it in the annual report for December '23.
Therese Sjoborg Skurdal: Thank you. Year-to-date EBIT is EUR 17.6 million. You need EUR 0.4 million to reach a low range of guidance. Where do you see yourself landing within this guidance range?
Christian Johansson: I mean, we have, I would say, quite some months to go up to end of the year, and we have a guidance range based on our best estimate with the current available information. So unfortunately, we cannot be more precise than that at this moment.
Therese Sjoborg Skurdal: Understood. Thank you. We have gotten some questions related to the announcement made last week related to the cost adjustment initiatives. So related to that, are the EUR 1.10 million still sustainable going forward, Linda?
Linda Nyquist-Evenrud: Yes, I would say so. These are overhead costs that will have a permanent effect once they are fully implemented.
Therese Sjoborg Skurdal: Thank you. Continue on related questions. Other measures than the reduction of positions, is there other measures?
Linda Nyquist-Evenrud: Other than the headcount reductions mentioned, we are also initiating temporary hiring freeze, travel restrictions, and we are also reevaluating operational expenses, projects and processes, just to mention a few of those actions.
Therese Sjoborg Skurdal: Thank you. Last question on this topic. What is triggering the new overhead improvement program?
Linda Nyquist-Evenrud: As mentioned throughout the presentation a few times already, this is a response to the current short-term lower demand in the automotive markets. And that said, overhead cost and geographical and product footprint is something we are continuously reviewing. So the new overhead cost measures are implemented in continuation of ongoing improvement programs, which have contributed to a stable OpEx base over time. And this year, we have realized the targeted overhead cost reductions of EUR 17 million, and we have then identified additional annual savings of EUR 10 million with full effect from third quarter next year, 2025. And that is then as a response to the lower near-term market demand.
Therese Sjoborg Skurdal: Thank you, Linda. Next question is for you, Christian. Is it a risk that KA will bridge its loan convenience for the next 12 months if the weak market remain -- if the weak market continues?
Christian Johansson: Yes. On the covenants, yes, we have done several scenarios, and we don't expect that there will be a breach. We have sufficient headroom to the covenants we have.
Therese Sjoborg Skurdal: Thank you. Free cash flow of minus EUR 24 million year-to-date realistically to deliver positive free cash flow first year 2024, what CF elements will drive cash flow developments in Q4?
Christian Johansson: As we presented, we are showing a positive trend on free cash flow versus where we were 1 year ago. And we also commented here, and in particular, the cash flow from operations in quarter 3 and year-to-date is improving in a good pace. So we certainly are having a high attention to cash generation and working capital reduction, and that will -- remains high, and we intend to continue to improve on this. And in Q4, we expect cash flow improvements to continue. Working capital optimization, obviously, we have a high focus on inventory reduction now when volumes are coming down. Receivable collection is also top of the agenda. I mean it's more difficult times for our customers as well. So you have to be in close relation, in close contact with the customers to see that they pay on due date. And this will certainly support cash inflows. But then on the P&L side, of course, cost control measures and to continue to see that we reduce operating expenses, and we are also maintaining a strict capital expenditure discipline and work as you've heard on operational improvements.
Therese Sjoborg Skurdal: Thank you. Next question is for you, Linda. Can you share some more details about the quality claims and warranty costs?
Linda Nyquist-Evenrud: When it comes to the warranty costs, they are part of operations in the automotive industry and due to very demanding quality targets required from all suppliers, which is measured in parts per million or PPM, as we say in our business. The reason for the higher-than-expected warranty costs related to the Drive Control Systems products are due to both manufacturing assembly issues as well as supply material issues. These kinds of challenges are usually known only after the KA product has come into the final application over the vehicle. And when it has been used for some time, which is, in this case, several years. And in this case, there are some quality problems that we have not been able to evaluate the severeness of before. So -- and now we have the data, and we are taking the cost to rectify the problems that we today are able to evaluate. And we want to emphasize that this warranty issue is related to products, as I mentioned, as well produced back in 2019 to 2022.
Therese Sjoborg Skurdal: Thank you. Continue with a question here for you, Linda. The company has already secured 72% of the estimated revenue for 2028. Can you elaborate on which segments or products account for this hedging and which geographical markets are expected to drive the growth?
Linda Nyquist-Evenrud: Okay. So if we go back to the chapter where we had a bit about new business wins, and if we look at new business wins Q3 last year to Q3 this year, we can see then that 73% of the lifetime revenues are within commercial vehicles, while 15% is within passenger vehicles and 12% is within others, meaning then off-highway and industrial. With the lead times in our industry, as we also have been mentioning in the past, we have the testing phase of 1 to 2 years, ramp-up phase of minimum 1 year. This gives a good indication of the split in 2027, 2028, I would say. In today's presentation, we show 3 products which are expected to drive profitability going forward, mentioning then the air couplings, the Gear Control Units and the electric actuators as well. And in terms of the geographies, we foresee strongest growth in North America, supported by cost-effective production in Mexico and Asia, primarily then looking to India and China.
Therese Sjoborg Skurdal: Continue with the question here for you, Christian. What part of your business are more affected by supply chain-related inventory corrections? Will the saving measures affect your ability to take on new business wins?
Christian Johansson: It's a very good question. And as I talked about earlier in the presentation, I mean, you have inventories, and this is what you refer to, you have inventories between each step of the value chain. So the further -- the earlier you are in the value chain like we are, I mean, as a component supplier, there are a number of inventories that are adjusted on the way to the end customer, which means that we see higher fluctuations when you have a tipping point, when there are adjustments on demand. And also what I talked about before in North America, in general, that market has more volatility. They are faster adjusting in both directions, of course, than else in the world. We see then since we have a Tier 1 business there related to engine components that -- and there has been significant adjustments with the market uncertainty in North America on heavy and medium-duty trucks. When it comes to our ability to -- for new business win related to the cost we take out, we don't -- do not see that. We believe that we will -- we are able to take the new business wins that we are aiming for also with these measures taken.
Therese Sjoborg Skurdal: Thank you, Christian. We are almost out of time, but we can take one more question, and I will send that over to you, Linda. We have seen a weakening of the market for passenger cars recently. Do you see the same for trucks, trailer and bus as well as for off-highway?
Linda Nyquist-Evenrud: As I mentioned in the start of the presentation, Europe, which is our largest geographical market accounts then for 47% of our total revenues. And if we look at the aggregated numbers, we see then a 13.7% reduction in the revenues within commercial vehicles in Europe, while the sales to passenger vehicles are down almost 20% in the same region. We also see then the revenues for commercial vehicles going down in North America, as we mentioned, and more now steeper, I would say, in second half. And in China, we have a growth of 5.9%, which is then also related to ramp-up of new programs. But in general, the commercial vehicle market is a cyclical business, and it relates to trade and how much we consume and the world's manufacturing activities. So sometimes you can have legislations coming in that impacts the market that -- and with that, you have some pre-buy effects. A good example is the anticipation then for North America in 2027. And at the same time, we expect some better business, simply economic climate in the world with lower interest rates will have an impact on this one as well. And we know that there is an underlying growth in the coming years, and that's what we will continue to map out.
Therese Sjoborg Skurdal: Thank you, Linda. Thanks for all these questions. As Linda already mentioned in the presentation, we will host a breakfast meeting in Oslo on December 17, and invitation will be sent out in the next few days. This concludes today's meeting. Thanks again for participation and joining the call today. Thank you.
Christian Johansson: Thank you.